Bjorn Tibell: Hi, everyone and welcome to the presentation of ASSA ABLOY's Third Interim Report in 2023. My name is Bjorn Tibell. I'm heading Investor Relations. And joining me here in the studio are our CEO, Nico Delvaux; and our CFO, Erik Pieder. We will stick to the usual format today and start now with the presentation of the quarterly result and then open up for your questions. So with that over to you, Nico.
Nico Delvaux: Thank you, Bjorn and also good morning from my side. Q3 results we can show you good results for Q3. I would say despite very difficult market conditions on the residential side and despite the fact that we had a difficult comparison with last year and one working day less in this quarter, we're still able to post positive organic growth of 1%. And also good to see that if we have lower organic growth that we can overcompensate with growth to acquisitions net plus 11% in the quarter, and then very strong operational execution with a record underlying EBIT margin if we exclude HHI and related divestment of 17.4% record in ASSA ABLOY history. Thanks to strong operational execution and also thanks to good cost savings in the quarter SEK250 million of MFP and SEK300 million additional one-off short-term related cost savings. So good bottom-line also good management of the working capital leading to a wrong -- leading to a record strong operating cash flow of SEK7.2 billion in the quarter. And a very high pace on acquisitions with 10 acquisitions signed in the quarter. If you look at the numbers sales almost SEK37 billion 16% up 1% organic, 11% net acquisition and 4% helped by currency. And EBITA margin also at a record level of 18.4% significantly up compared to the same quarter a year ago. The EBIT margin, if we exclude again HHI and related divestments of 17.4% versus 15.6% a year ago and then EBIT close to SEK6 billion 19% up. If you look then a little bit at the different regions, a flat development in North America where we should make a distinction between the Americas division that posted a mid single-digit positive growth. But what brought it down is the residential business for Entrance Systems, our garage door business where we saw double-digit negative growth and our window hardware business that resides under the APAC division where we also saw double-digit negative growth. In North America, we see -- and we continue to see challenging situation on the residential side. We mentioned in Q2 that we are confident that residential market is bottoming out and that slowly we should start to see improvement. Of course, what happened in recent weeks with interest rates long-term interest rates most probably will make that recovery a little bit more challenging until we believe we are bottoming out on residential and we should start to see slow recovery in the coming quarters. We still see good momentum on the commercial side. And there like in previous quarters the market is not our biggest challenge. Our biggest challenge is there really the high comparison with previous quarters. Strong South America plus 8%, strong performance for Americas and then also helped by a very good performance of HID. Africa plus 15% and then Europe minus 2%. I would say Europe is affected most by the lower residential market activity. Europe around 45% of our business is residential-related. And we see the residential in general as well for new build as for are still on I would call it even depressed level in general and in particular in the Nordics, we've seen a high single-digit decline of our business in Finland and continued decline also in Sweden. And those markets are also important for us from a profitability perspective. Same thing here in Europe. We still see good momentum on the commercial side. Strong Australia and New Zealand, plus 9%. Very strong momentum on the commercial side. Same story on the residential side I would say as in Europe as -- or as in the Americas. If you look at the cycle, residential cycle most probably Americas is most ahead in that negative cycle. Australia, New Zealand is a little bit in between and then Europe is lagging. If you take then Asia, plus 2%, very strong India, very strong Southeast Asia, a flattish South Korea. And then I would say a good improvement in Greater China where we only have seen very low-single-digit negative growth. If we look only at final customer sales or brought it down a little bit more in Greater China was our intercompany sales to mainly Europe. So I would say good improvement in Greater China. We see the market also slowly, perhaps very slow recovery. And like I mentioned earlier we should be able -- if that recovery takes place start to see positive growth numbers again in the near future for Greater China. If we then look a bit at market highlights. Also this quarter several project wins. We got a large automatic sliding door package order for a big nationwide retail chain in the US. We unfortunately cannot mention the name of the company. We also had digital access and workforce management solution for European's largest construction site H2S in the UK, doing time and attendance access control for 16000 workers. And then, we have the employee badge in Apple Wallet for an important American multinational pharmaceutical and biotechnology company. Also here we cannot mention the name but they are a market leader in their field. Several new product launches in the quarter. Definitely the first one very excited about this. This is really breakthrough innovation and Dual Drive technology industrial door for Entrance Systems. Finger protection solutions for hinge sales -- hinge side of doors. And then a new Gateman smart door lock with fingerprint reader and voice guidance for the South Korean market. And then we continue to get good awards for our R&D efforts. Our eCLIQ, electronic locking system won the Plus X Award, world's largest innovation award for technology. And Sargent and Corbin Russwin won the Security Today's New Product of the Year Award for their new generation of exit devices. So now 11 consecutive quarters with positive organic growth. And this quarter organic growth complemented with very strong growth through acquisition, like I mentioned earlier. Our margins, coming back within the 16% to 17% bandwidth. If we exclude HHI and the related divestment, our EBIT margin on a 12-month moving trend is 16.6%. But even if we include all the costs, we are close to the 16% bandwidth we are at 15.8%. And so we are really coming back in the bandwidth where we want to be. So, strong top line improved margin, therefore, also accelerated operating profit record operating profit in the quarter. Acquisitions, has been a very active quarter with 10 acquisitions signed in Q3, 18 acquisitions signed year-to-date. They represent an annualized sales of almost SEK20 billion. HHI integration we have the integration time -- team in place. We started to realize the first synergies as well on the sales as on the cost side. And then, we have also decided to accelerate our investment in the innovation team as well on the mechanical as on the digital side to come faster with new products. If we zoom in on two acquisitions Evolis in France, a leading manufacturer of ID card printers and consumables reinforcing our current offering within the Secure Issuance business in HID. They had a sales of SEK1.2 billion last year, a very interesting company with very good synergies. And the same is true for Forte in Peru, a leading residential door lock and padlock manufacturer in Peru, strengthening our position in emerging markets and they had a sales of around SEK200 million last year. If we then go into the different divisions and start with EMEIA, the division that was hit most by the downturn on the residential side, an organic sales of minus 3% with strong growth in Middle East, India and Africa stable growth in South Europe but then sales decline in UK, Ireland, Central Europe and mainly in the Nordics. And that growth in the Middle East, India, Africa and important sales decline in Nordic also give us an important negative mix. Therefore, we are happy with the operating margin of 13.8%. I think EMEIA has done a very good job in adapting the cost structure to that lower volume and try to compensate for that negative mix. It's a good operating efficiency gains extra cost-cutting leading to an operating dilution of only 80 basis points. FX up this quarter 30 basis points mainly because of the weaker Chinese renminbi and then M&A flat. Go to Americas, another very strong quarter for Americas with an organic sales growth of plus 3% with good growth in North America nonresidential stable growth in Latin America and then a significant sales decline in US residential but that's of course a small business that's only the organic part, but Erik will show later that we have seen very similar decline for HHI in the quarter. Very strong operating margin, 16.9% if we include HHI, if we also include separation and integration costs related to HHI. If you take out those integration related costs they would be at 18.4%. And if you take the whole HHI out, they would have been at a record 24.2%. So even 10 basis points higher than the record of Q2 where they were at 24.1%. So very good execution in the Americas with very strong operational efficiency, very good leverage from price versus cost helped by FX 80 basis points and then of course strong dilution from the HHI acquisition. If you then go to APAC, an organic sales decline of 7% with a strong sales growth in Southeast Asia, a small sales decline in China, almost flat in South Korea. And then sales decline in Pacific where we should make distinction between the local market in Australia and New Zealand where we saw good growth. But what brings Pacific down is the window hardware business that they export to the US that goes to OEMs in the residential field and there we saw double-digit negative growth. An operating margin of 8.7%, strong improvement versus the same quarter a year ago. Also here a very strong operating leverage, good price versus cost also good, cost measures to compensate for the lower volumes in the window hard business in the US. FX dilutive 10 basis points and then strong accretion from M&A, 110 basis points that's the acquisition of D&D Technologies in Australia. We then go to the global divisions, Global Technologies, a good quarter with now a normalized PACs business, an organic sales of growth of 4% with good contribution from all business areas with the exception of Extended Access and Identification Technologies. Also strong sales growth in Global Solutions and in hospitality in particular leading to a very strong operating margin of 18.5%. Also here very strong execution and then helped 40 basis points on currency and M&A dilutive 40 basis points. Entrance Systems, a stable organic sales but a very different picture between the different segments where we saw strong sales growth in industrial and pedestrian segment, good growth in Perimeter Security. But what brought it down is our residential business mainly in the Americas where we -- so again double-digit negative growth for our residential garage door business. Very good to see a continued strong growth in service. Service was up high single-digit delivering on our ambition to grow our service business high single-digit for the coming years, an operating margin of 17%. Also here very strong price versus cost a very good mix in the sense that we grow faster in service than equipment. And I would say, all stars aligned in the quarter for Entrance Systems, when it comes to operating margin. FX and M&A both slightly dilutive with 10 basis points. And with that, I'll give the word to Erik for some more details on the financials, and also some more details on the HHI performance.
Erik Pieder: Thank you, Nico. And also from my side a very good morning. The numbers that you see now as mentioned before also includes HHI. Obviously, on the sales on the different pieces organic acquired growth as well as FX you have heard it before from Nico. If you look on the EBIT margin in value, it's up with 16% and ended at roughly SEK5.8 billion. EBITA margin is up with 50 basis points. If you look on a year basis we're up with 80 basis points. The EBIT margin was slightly up 10 basis points. And then you see that, we have a higher part of interest rate -- interest cost which is sort of widening income before taxes at 3%. Roughly in the quarter, we had SEK900 million in interest cost. And if we look on the full year, we expect to be somewhere around SEK2.5 billion for the full year. Operating cash flow, I think one of the highlights in the quarter where we ended 59% better than last year and in actual value was almost SEK7.2 billion in positive cash flow. And finally on this slide, you see the return on capital employed now ended at 16.3%, obviously, lower than last year due to the let's say the capital employed that we received from HHI. If we then go more into the bridge, the organic part if you split it price is low 3%, which sort of means that, we have roughly minus 2% in volume. It looks of course a bit strange, if you look into the organic column here with an operating margin coming out of the flow-through of 336%. This is of course related to that we have a very strong leverage which is due to lower material costs. We have been able to continue with price realization. And then as Nico mentioned before, we have roughly SEK250 million coming from MFP savings. And then we have as we talked about in the last quarter the short-term cost measures that we have done contributed with roughly SEK300 million. Currency is also positive this month due to the stronger dollar as well as the weakening Chinese currency. And then, if we take HHI aside, you can see that we have good contribution from the acquisitions, where the two main drivers would be D&D Technology as Nico mentioned before, as well as Control iD, which was an acquisition that we did last year in Brazil. If we then sort of zoom in a bit on the next slide on HHI. Nico mentioned before that we sort of also here see on the sales that, it's lower than it was in the same period last year. It's roughly down with 16%. And the EBIT margin ended on 7.6%, which is 330 basis points better than what we had in Q2, if we then exclude the closing and integration cost that we had in Q3 of roughly SEK205 million, we expect to have roughly the same number for Q4. If we then just add on EBITDA, we ended up for HHI with an EBITDA margin just slightly below 15%. The actual number was 14.9%. We expect from EBIT percent that it will sort of continue to improve, but we will also just like to highlight that normally for HHI Q4 and Q1 are seasonally weaker. We sort of maintain what we have said before is that HHI will have a negative EPS impact for 2023, but should be accretive as from 2024. Then you heard also from Nico before when we talked about that we sort of see a lower activity level on the residential, but we believe that it is bottoming out and that it should sort of not get any worse than what it is right now. The cost breakdown on the direct material the 2.8 points 120 basis points of that is related to positive mix where we had a stronger Global Technologies a stronger Americas and then a weaker EMEIA and then a weaker APAC which sort of means that that's why we have a positive effect there. The other 160 basis points is due to the lower material as well as lower logistic costs. Conversion costs as well as SG&A, you see they are negative. Conversion cost is negative with 70 basis points. SG&A is negative with 50 basis points. There it show that -- I mean, the lower volumes as well as inflation as well as higher wage costs we have been partly been able to offset that with what we talked about before the operational efficiencies. And on the SG&A, we continue to invest in R&D and then -- but we can only partly offset that by let's say savings coming out of the sales as well as the administration cost. Cash flow, as I mentioned before, it's a record. It's one of the real highlights I would say in this quarter having a cash flow for the quarter above SEK7 billion. This comes from that we had of course a good contribution from the EBITDA as well as we have been able to maintain a good control I would say on receivables as well as payables and then we have been able to work our inventory down. And if you look on the cash conversion cycle for the quarter, it was almost 150%. It was actually 147% to be more exact. On the gearing net debt to EBITDA, it went down from the 2.8 last quarter to 2.6. One of course is I would call it purely mathematics because if we had the full net debt, but now also we start to see the contribution from HHI on EBITDA. But besides that, I think that also the cash flow had helped us. And despite that we have done a lot of acquisitions in the quarter, we were actually able to reduce the actual debt with SEK1 billion in the quarter. I think that the balance sheet is continuously strong enough to support our acquisition strategy also going forward. Last slide for me is the earnings per share, which is up with 3% if you compare to the same period last year. And with that, I hand back to Nico for some concluding remarks.
Nico Delvaux: Thanks, Erik. So like we said at the beginning a good quarter. We have a positive organic sales development of plus 1% despite very challenging market conditions on the residential side, and then a very strong complementary growth from acquisitions net plus 11%, record strong margin if we exclude HHI 17.4%, record cash flow of SEK7.2 billion and then the integration of HHI has started going in a positive way starting to realize the first synergies and being even more convinced now than before on the SEK100 million synergies that we have identified. It's clear that we are living in a world with a soft economic climate and it's very difficult to predict the future. What we can do and what we have to do is make sure that we are agile enough, if there is opportunities that we continue to grasp the opportunities. If we see markets or segments going down, that we are fast enough to adapt our cost to new realities and therefore be able to continue to protect our bottom line and our cash flow like we have also done this quarter and we are very confident that our organization is tuned for that. And the last but not least, Bjorn asked me to inform you that we will have our Capital Markets Day next year on the 14 to 15 of May. That will be in Prague and then we will also visit our very interesting factory in Rychnov. And with that, I give the work back to Bjorn for Q&A.
Bjorn Tibell: Thank you very much for that Nico. Well, it means that it's time now to open up for questions. I've been informed that we have around seven people in the queue already. So please limit yourself to one question and a follow-up so we can go through the queue. So operator this means we're ready to kick off the Q&A session. Please go ahead.
Operator: We'll now begin the question-and-answer session. [Operator Instructions] The first question is from Vivek Midha with Citi. Please go ahead.
Vivek Midha: Thanks very much everyone. Good morning. My question is on non-residential. You commented that you're seeing a good development in non-residential in the US and Europe. What are you seeing in your specification activity? And what's your latest thoughts on the end market given the lead indicators? Thank you.
Nico Delvaux: So, like I mentioned I think we still see good momentum on the commercial side. Perhaps it's not as hot anymore as it was 18 months ago, but I think it's still very good momentum on the commercial side. Our spec business in all three main regions if you take North America, Europe, and Australia, New Zealand has been up higher single-digit and that in comparison with a very strong spec activity same quarter a year ago. I know that some of the indicators like ABI indexes in the month were very negative. Like I mentioned earlier, we should look at that in over a longer period. If you have one month or two months with low ABI, what it does is just reducing the pipeline of projects. You've seen that perhaps also that the pipeline is still six months. So, what is more important is that we see that the ABI index going up again in the coming months. But again internally, we still see good momentum. I would again say that the market is not our biggest concern. Our biggest concern remains the very difficult comparison with a year ago and also the fact that now again in Q4, we will have one working day less as compared to the same quarter a year ago.
Vivek Midha: Thank you very much.
Operator: The next question is from Daniela Costa with Goldman Sachs. Please go ahead.
Daniela Costa: Hi, good morning. Thanks for taking my question and then also a follow-up which is actually a follow-up on your prior comments. But starting with sort of more of the medium term, I think we've seen in July some energy efficiency measures in Sweden targeting sort of windows and doors and I think one of your peers yesterday talked about that. The market is currently very weak, but as you look forward are you seeing any signs that that could provide some offset specific to your product categories despite the weak construction industry? And then I'll ask the follow-up afterwards.
Nico Delvaux: Yes, of course, I would say that energy conservation and energy in general becomes more and more important in general not only in Sweden in general in Europe and I would say in the world in general. So, that definitely helps us because it also drives specifications up in our industry and it gives people that do R&D and innovation like us an advantage and it takes the more pure cost players out of the equation. So, it's definitely a plus. Is that going to help us so much on -- in Sweden in particular? I would say no. I think it's only a small very small part of what we do in Sweden and I explained earlier. If you take prior to COVID-19 levels, if the level of -- prior to COVID-19 of new housing built in Sweden was 100. Today, we are below 20. So, it's a very important drop of new build. And we see something very similar on the R&R side. And we don't see a good improvement yet in the near future. I think the only perhaps positive thing if you call it the positive thing is that is now the third quarter that we see decline in Sweden. So, one more quarter to go and then at least the comparison will become easier. But I don't expect a strong recovery in Sweden on the short-term. No.
Daniela Costa: Got it. Very clear. Thank you. And then just a follow-up just quickly some quarters you comment on how the quarter has started. I wonder if you can tie up all the comments you've given so far into any commentary regarding how October and Q4 has started on a sequential term versus Q3?
Nico Delvaux: So Q3 is of course a very difficult quarter, because we have July and August which are holiday months and then September makes or breaks your quarter. So it's a bit difficult to comment. But if you would correct for the holiday effect and take July and August perhaps together and then also correct for the working day corrections of course, you have seen lower level in Q3, because we don't have the recovery of the PACS business, but it had been rather flat development in Q3 and the same flat development has now continued the first couple of weeks into Q4.
Daniela Costa: Thank you.
Operator: The next question is from Aurelio Calderon with Morgan Stanley. Please go ahead.
Aurelio Calderon: Hi, good morning, Nico and Erik. Thanks for taking my questions. It will be one and a quick follow-up. First one is on HHI and obviously you talk about EBITA margins getting close to that 15% band. I wonder if you can comment and Nico, I think you made a comment saying that you are even more convinced that the $100 million synergies is achievable. So question would be what has surprised you now that you've fully integrated the company for three months? And what do you think that margin trajectory or how do you think about that margin trajectory for the next quarters or so?
Nico Delvaux: Yes. We -- as we have of course a lot of one-off costs and therefore the comparison and reading the real figure is a little bit difficult, Erik mentioned that in the quarter we had SEK205 million integration and closing costs. Erik mentioned also that we should have similar integration closing costs now in Q4 but that should be done and over going into next year. So next year would -- should be clean from that aspect you can say. But therefore I think it's perhaps easier and better to look at EBITA figures because that gives a more correct reference, because also the difference between EBITA and EBIT we are still working on the exact PPA percentage that we should be able to finalize in the coming weeks. But EBITA like Erik mentioned was at 14.9%, close to 15% in Q3 a significant improvement over Q1 and Q2. So we really see that margins have bottomed out and we start to see a good recovery of that margin. Like Erik mentioned, Q4 and Q1 are seasonally always lower top line quarter than Q3. Q3 is normally the higher top line quarter seasonally. But nevertheless we are confident that -- and we aim for that that we will be able to continue to further increase our margins in Q4 and going forward despite the seasonal effect. And that is because we start now to see better prices kicking in with lower costs lower costs for material, lower costs for logistics -- logistics sorry. And we also start to see the first synergies being realized as well on the sales side as on the cost side. Why am I more convinced, because in the meantime I have seen much more people? I was -- two weeks ago for instance in the Philippines where HHI has their biggest factory. It's our biggest factory for the group today. We have more than 1,300 people working at the factory. There again you see the whole strong chemistry. We speak the same language. They are very happy now to be part of the ASSA ABLOY family and they say that we understand the industry and we will do the right investments, and together our knowledge will be stronger. And by being able now to look from inside into the company and getting confirmation from inside from some of the things we thought from before, from looking at the company from outside it gives us that extra confidence that we will be able to realize those synergies.
Aurelio Calderon: That's great. Thank you. And a quick follow-up probably for Erik, cash conversion obviously been very, very strong are you happy with your working capital levels or as volumes probably will continue to be a little bit soft are you still going to be pushing to reduce inventories?
Erik Pieder: I mean, let's say that what Nico normally says I'm happy, but I'm not satisfied. I sort of still believe that we have potential to further decrease our inventory which comes from also the better let's say stability we have in the supply chain, the better stability we also have on the logistic part, should also be able to generate that we have more potential than on the inventory side.
Aurelio Calderon: That’s great. Thank you.
Operator: The next question is from Gael de-Bray with Deutsche Bank. Please go ahead.
Gael de-Bray: Thanks very much. Good morning, Nico, Erik. Thanks for taking my question and maybe a quick follow-up. Can we start with Europe, please? The EMEIA division used to be a 16% margin business in the past but since COVID, really margins have been at or below 14%. And with the outlook still clouded by higher interest rates I was wondering if you're considering maybe taking even more structural actions to catch up on the lost ground? So that's question number one.
Nico Delvaux: I would say everything depends on how the markets will evolve going forward. We announced I think in Q1 that we were going to do SEK 900 million extra savings this year. We explained that most of those savings are for Entrance Systems and EMEIA and that is also where we have seen now the savings kicking in in Q3. We are not there yet. Some of the savings that we initiated and cost measures we initiated in when we announced the SEK 900 million still have to come and they will further come now in Q4. So we will get further operational efficiency gains now in Q4. I mean it's not a secret that we are not happy with the margin where we are with EMEIA today. I think we had the challenge in EMEIA that we were perhaps a little bit too late with pricing cases when inflation started as compared to other divisions. And if you're too late to start you of course take that headwind with you throughout the whole cycle and that's – that explains the EBIT performance to a certain extent over the last couple of years. And then the other important negative effect is obviously the currency, the SEK that affected our margin in a very important way as well over the last two years. Like I mentioned earlier in the presentation, I'm very happy now with the cost measures that EMEIA is taking and I'm very happy that we see those costs now being translated also in the results in Q3. And I'm also confident that going forward now from here, we should continue to see further improvement on the operation side.
Gael de-Bray: Okay. Thank you very much. And maybe just checking a couple of things on HHI. What's the normal seasonality you would say between Q3 and Q4 margins? And on the PPA side was it around SEK 150 million this quarter? And since you're still assessing PPA do you see it rather coming down or up?
Erik Pieder: Where do we – we start with the...
Nico Delvaux: Start with the seasonality. Yes.
Erik Pieder: And then I sort of – the seasonality is that it is weaker in – as I mentioned before in Q1 and – in Q4 and Q1. The actual let's say exact number is difficult because it's also depending on how the market evolves. On the PPA, what we have said on a year basis, we have talked about SEK 800 million on a year basis and right now as I – right now as I said in the last call that today it's roughly 20% that we have started as initial point. We are now doing the assessment. I would say that I'm confident that it's not going to be higher than the figure that we have right now.
Gael de-Bray: Okay. Thanks very much.
Operator: The next question is from Rizk Maidi with Jefferies. Please go ahead.
Rizk Maidi: Yes. Good morning. Thanks for taking the questions. I'll start with pricing. So it's 3% in the quarter, can you perhaps just give us a bit of indication there is it still mainly driven by EMEIA Global Tech and less price increases in Americas and Entrance Systems? And how are you thinking about your sort of pricing strategy in 2024, please?
Nico Delvaux: Yes, so Erik mentioned it was a low 3%. So it was closer to 2.5% in the quarter. And in the quarter, it was the same as the first two quarters this year. So, all divisions were above that 2.5% with the exception of Entrance Systems and Americas which were lower. And it has all to do with the fact that last year, Americas and Entrance Systems were above because they have the highest steel component in their material cost and as you know, steel especially in the US, steel cost exploded and therefore, there was more margin to increase prices for Americas and Entrance Systems last year and now they have the more difficult comparison. We have said that at the beginning of year, we had around 2% price carryover. So for the full year, you should reckon somewhere around 3% price for the full 2023. We are now preparing and we are already informing the market on price increases that will come, beginning of next year. So we will continue to increase prices next year because we continue to see inflation. Yes, material has stabilized, but stabilized still on a higher level. We still see very strong labor inflation. And we believe labor inflation will continue to be strong next year and we also see strong -- stronger general inflation. Therefore, it's important that we continue to increase prices and I would say, we will continue to increase prices as long as the market follows and so far, this has been the case. I would say the only exception is, where we have strong steel content like residential garage doors and fencing business for residential applications. There I think we are happy that we can keep the prices because obviously, there we have seen significant price increases over the last two years.
Rizk Maidi: That is very clear. The other one is just on the strong operating leverage perhaps on the saving, I mean, you've done SEK 550 million now in Q3. Can you just remind us on, how should we think about this number MFP and the short-term effect in just the coming quarters Q4 and perhaps 2024 please?
Erik Pieder: If you -- if we start with, what we said on the short-term savings was that we said for the year roughly SEK 900 million. I would say, that out of the short-term we would have another SEK 300 million now coming in Q4. If you look on MFP for the Q4, my estimate is slightly above SEK 200 million. And today, with all the projects that we have let's say, from the MFP eight as well as for the MFP nine for next year, it is SEK 600 million.
Rizk Maidi: Okay. Thank you very much.
Operator: The next question is from Alexander Virgo with Bank of America. Please go ahead. 
Alexander Virgo: Yes. Good morning. Hi, Nico. Hi, Erik. I wonder, if you could just dig into the dynamics on new builds versus R&R in resi and I guess Europe and the US primarily? I'm just wondering, you've described Scandi as saying or Nordics, I beg your pardon, as saying, you're seeing similar patterns to new build where you're going from an index of 100 to less than 20. I just wanted basically, can you go through a little bit more on the detail of this, because a lot of the sort of prevailing assumptions around resilience in construction outlook is predicated on renovation and it does sound as if renovation markets from your perspective are pretty weak obviously, very weak in the Nordics. So, I wonder if you could just expand that across regions and just talk us to -- talk to us a little bit about the trends and the dynamics of that business? And if I could follow up very quickly just on the Americas and talking about double-digit negative growth in garage doors. I appreciate that that business is in Entrance Systems. I'm just wondering, if you could clarify for us what's remaining in the Americas resi exposure given the disposal of Emtek and Yale? Thank you.
Nico Delvaux: Yes. So perhaps, you should go back a couple of quarters and -- when the residential downturn started to hit. The first thing, you of course see, is that new build stops or goes down significantly. And then you get -- we get the double hit because we sell to OEM window manufacturers, OEM door manufacturers, and if they see new build going down significantly, they also stop ordering from us and we get a double dip. Once they have adjusted their stock levels which is more or less the case today then, you continue to go down in line with how the market goes down. And market is significantly down in US, in Europe, and in Australia, New Zealand for new build. I think it's very similar and it's still double-digit down. What I said on R&R is that, last year we still had positive R&R activities on the residential side, but that we saw that growth coming down. We have continued to see that growth going more and more down in Q2 -- Q1 and in Q2, it was negative and now in Q3 it's more negative because I think what people underestimate is of course, yes we have the general R&R, but when do you do big R&R? That is when you move houses, when you move into a new house or when you sell your house, that's when you do the big R&R work. And as there is also much less people that change houses, it's not only new houses that are less built, but also less people changing houses, because they have all the mortgage challenges on their back. We also see that bigger R&R not happening or not happening to the same extent. I should correct myself if you interpreted that also R&R is down from a level 100 to 20 in Sweden. That is of course not the case, but R&R is also significant down in Sweden and I would say in general in the world. And then I think the second...
Alexander Virgo: Thanks, Nico. Yes. And just a follow-up, was just on the -- well if I could follow up with, can you give us an indication of how much you think it's down? And then the follow-up was on the US, US or the Americas business specifically the residential exposure there? Thanks.
Nico Delvaux: Yes. So again, I mean we divested most of our residential business in the US. So I mean it's not significant. What is remained it's a very little business. So, I think if you look at our residential business in the US, you should really look at our HHI performance. That is what moves the needle or not.
Björn Tibell: Shall we go to the next question, operator?
Operator: Yes. [Operator Instructions] The next question is from James Moore with Redburn Atlantic. Please go ahead.
James Moore: Yes. Good morning everyone. Thanks for taking the question. What if I could just go a bit further Nico on the Americas business? You've got a great story with HHI, but as ever it can often be the end market mix that causes issues. And I'd just like to mitigate that and understand within resi, institutional, commercial a bit better, how you now look. I know resi has gone from 25% to 45% post HHI, LatAm is mostly resi. And I know you always thought of 45% commercial, 55% institutional. I just think when you bore into those three pieces, could you help me understand a little bit, how much is multifamily versus single-family in resi? And in institutional, when [indiscernible] was running the business, he'd always say like it's a third health, a third education, a third other. I don't know if that's still valid. And within commercial, which is obviously an area of risk and I know you'll say nothing is more than 10%. But could you help us rank multi retail office casino hotel, what are the bids that are actually more important within that? Thanks.
Nico Delvaux: If you take the nonresidential business in the US, you could say that, around 55% is institutional and then 45% is you can call it commercial or non-institutional. If you look at the different verticals or segments, there is no segment that is double-digit exposure. The two main verticals or the two biggest verticals for us are healthcare and education. And all the others are smaller, but also healthcare and education are less than 10% of our revenue on the nonresidential side. Multifamily is a bit difficult, because it's mainly in residential, but sometimes depending on the type of project some of it might also slip into commercial. But a different answer -- different way to answer is if you look HHI, which I think is also representative for residential business in general in U.S. clearly the biggest channel to market is the DIY channel. The second biggest channel is the professional homebuilders and then the other channels are smaller.
James Moore : That's really helpful. And just within commercial, are you more skewed to office or more to retail, or more to hotel? I've just never understood the non-institutional resi side of the business that well.
Nico Delvaux: Yes, we get, of course, a lot of questions on offices, because people say that it's going to be less office space then there's other people that's going to be, let's say, it is more office space. We don't live off office space, we live off door openings. And we are convinced that even now in the future with people working more from home there will be more door -- more openings, because what will disappear is those big landscapes where people sit with 200, 300 people in the same room and that the new offices will be more breakout rooms meeting rooms some more door openings. We are also convinced that the door openings will be more of an electromechanical nature versus mechanical some more revenue per doors. So we believe the office story is still a positive story. But the office vertical is not a significant vertical for the Americas. So, a bit different for HID. For HID, it's -- there -- for the PACs business, it's an important vertical.
James Moore : Thank you very much.
Operator: There are no more questions at this time.
Bjorn Tibell : If there are no more questions, I think it's time for us to round up. But we will give participants five seconds to press the button in case there is a follow-up.
Operator: There's a follow-up question by Vivek Midha with Citi. Please go ahead.
Vivek Midha : Thanks very much everyone for the opportunity for follow-up. A very quick follow-up on Asia-Pacific. You printed 8.7% margin in the quarter. I understand the mix has changed quite a lot in the last few years. But could you give us any updates on where the China margin sits now within that? Thank you.
Nico Delvaux: Yes, I can do that. I think, we are very happy with the improvement on the margin in Greater China. As you remember, a year ago we were printing double-digit negative margins in China. We are today very close to breakeven. It's still red figures, but it's very small red figures. Therefore, we are also confident if we can continue now to grow or we can start to grow the top line again in the coming quarters then soon after we should also start to deliver black numbers in Greater China. And the much less dilution of China in the quarter is an important reason why the margin improved so much as compared to the same quarter a year ago.
Vivek Midha : Thank you very much.
Bjorn Tibell : Thank you, operator. Is there any more questions? 
Operator: We have a follow-up question from James Moore with Redburn Atlantic. Please go ahead.
James Moore : Yes. Thanks for the follow-up. In your GT business, Nico, you talked a couple of years ago about the depressed hospitality in marine business. And that you thought that would start to improve as we move past COVID, which would be an important lever for profitability. I don't know if you could give us a flavor for where we are these days in terms of the HID profitability versus solutions or hospitality within that? And whether you think that the GT margin story is now cooked and done or whether you think there is still areas of obvious secular improvement or cyclical improvement?
Nico Delvaux: So as you know in Global Technologies around 70% is HID around 30% is Global Solutions. And like I mentioned earlier in HID, the PACs business is very important from a profit perspective in Global Solutions. The marine cruise ships and the hospitality business is very important from a profit perspective. We have indeed said that marine and, especially, hospitality would take longer after COVID-19 to recover because the misconception of the market was that people start to go back to the hotel and our business was back. Yes, our aftermarket business was back for hospitality, but it's only 20% around of our hospitality sales. Hospitality is mainly projects upgrade projects for adults. And it's clear that if you had a family hotel or a small chain hotel and they didn't see a customer for 18 months during COVID-19 times it was not your first priority to upgrade your project. That's why it took longer to recover on the hospitality side. Cruise ships came back a little bit earlier because those diehard cruise ship customers they went back on the cruise ship soon after COVID. So we have seen a recovery first of the marine business and then we have seen a good recovery of hospitality. The last quarters we have seen very nice double-digit growth. And we are now again on those volumes that give us very good margin for hospitality. And for Marine [indiscernible] again well above pre-COVID-19 levels and in that aspect I think Q3 has been again a more normal mix or a mix that we historically have seen for Global Tech. And therefore, it should be possible like we mentioned also earlier to continue to post EBIT margins between 17% and 18% somewhere for Global Tech definitely above the 17%, but not the 19% or 20% that some of you were dreaming about. We have always said that Global Tech is 17%, 18% EBIT margin if mixes are correct and the volumes are where we want them to be.
James Moore: That's really helpful. Just to follow up on that on PACs where are we do you think on the revenue and margin cycle?
Nico Delvaux: So like we mentioned earlier, we had built that -- built up that big backlog on PACs because we had electronic component shortages. That was mainly last year and then we started to redesign having the right chips in production we were able to produce and then we started to recover on that backlog as of Q4 last year and then Q1 and Q2 this year. That is done now. That backlog is over. We are back to you could say normalized PACs levels. And that's going to be a challenge also now going forward into Q4 because obviously Q4 last year for Global Tech was a very strong quarter. If I remember right the organic growth was 18% for Global Tech in Q4 last year. So it's a very difficult comparison now with one working day less this Q4 and with a normal PACs versus a inflated backlog PACs same quarter a year ago.
James Moore: Okay. And just last one if I could. On PACs you sort of
Nico Delvaux: James, sorry, can I interrupt? We actually have another person in the queue. So can we move over to the next person?
James Moore: Sure. Thank you.
Nico Delvaux: Thank you, James.
Operator: The next question is from Johan Sjöberg with Kepler Cheuvreux. Please go ahead.
Johan Sjöberg: Thank you. I had a question on the margins in Americas. When I do the math here in Q3 and look at the underlying margins now including HHI and excluding that integration costs, I come up with 18.7%. And I understand that you would have integration costs of the same amount now in Q4. But going into 2024 given what you're seeing in terms of future price increases, your own synergies, et cetera and also the order backlog you talk about commercial and also your assumption on residential, how do you -- did you -- do you sort of -- how do you see margins in Americas in 2024, or if we could talk about the first half where you feel comfortable to talk about your visibility to see that deviating much from the current levels or how should we look at about it? Thank you.
Nico Delvaux: The 18.7% is a good calculation if indeed take the let's call it one-time off cost out. Like you rightly mentioned we will see still similar one-off costs in Q4, but then as of next year they should be clean. So I think the 18.7% I think is a good reference starting point to start thinking of what will happen next year. Then, of course, there's a lot of moving parameters. The mix between residential and commercial is of course very important because as you've seen margins are still very different between HHI and our commercial business. The same is true between South America and North America. And then a lot will depend on where material prices will go next year and how strong we will be able to further implement price increases going forward at the beginning of the year. But I think definitely the first couple of quarters for next year that number should be a good reference, yes.
Johan Sjöberg: Very good. Can I also ask you about the price increases in general for the group? I understand that you will aim for higher price increases in 2024 compared to what we had seen in the history. And also you have the difference between the US market and the rest of the group. Is it the same thing that the US market will see higher price increases than the rest of the group please?
Nico Delvaux: We are still working on the details for the price increases for next year, but I don't think it's going to be big differences. It's all going to be linked to the inflation numbers in the different countries. And so depending on what you see as difference in inflation between for instance US and Europe that should then also be translated to a certain extent and the difference you will see in pricing cases between US and Europe for instance. But we will try to increase prices in the different regions again to compensate for that inflation.
Bjorn Tibell: Thank you, Johan. It's time for us to round up now this conference. I would like to thank everyone for your interest and participation. And we look forward to speaking and meeting with many of you in the coming weeks. So thank you and have a good day.
Nico Delvaux: Thank you.
Erik Pieder: Thank you.